Operator: Good day, everyone, and welcome to the FTI Consulting Fourth Quarter and Fiscal 2013 Earnings Conference Call. As a reminder, today's call is being recorded. And now for opening remarks and introductions, I'll turn the call over to Mollie Hawkes, Director of Investor Relations at FTI Consulting. Please go ahead, ma'am.
Mollie Hawkes: Good morning. Welcome to the FTI Consulting conference call to discuss the company's fourth quarter and fiscal 2013 results as reported this morning. Management will begin with formal remarks, after which we'll take your questions. Before we begin, I would like to remind everyone that this conference call may include forward-looking statements within the meaning of Section 21 of the Securities Exchange Act of 1934 that involve risks and uncertainties. Forward-looking statements include statements concerning plans, objectives, goals, strategies, future events, future revenues, future results, performance expectations, plans or intentions relating to financial performance, acquisitions, business trends and other information or matters that are not historical, including statements regarding estimates of our future financial results. For a discussion of risks and other factors that may cause actual results or events to differ from those contemplated by forward-looking statements, investors should review the Safe Harbor statement in the earnings release issued this morning, a copy of which is available on our website at www.fticonsulting.com, as well as other disclosures under the heading of Risk Factors and Forward-looking Information in our most recent Form 10-K filed with the SEC, and in our other filings with the Securities and Exchange Commission. Investors are cautioned not to place undue reliance on any forward-looking statement, which speaks only as of the date of this earnings call and will not be updated. During the call, we will discuss certain non-GAAP financial measures such as adjusted EBITDA, adjusted segment EBITDA, total adjusted segment EBITDA, adjusted earnings per share and adjusted net income. For a discussion of these and other non-GAAP financial measures, as well as a reconciliation of non-GAAP financial measures to the most recently comparable GAAP measures, investors should review the press release and the accompanying financial tables that we issued this morning. With these formalities out of the way, I would like to turn the call over and welcome our recently appointed President and Chief Executive Officer, Steve Gunby. Steve, please go ahead.
Steve Gunby: Thank you, Mollie. Welcome to all of you, and thanks for joining this call. Today is my 1-month anniversary of joining FTI, and I'd like to say I am excited to be here and I'm very much looking forward to meet each of you on this call and working with you going forward. I'm joined today by Roger Carlile, who I think most of you know is our CFO; and Dave Bannister, who I think also most of you know is our Chairman of North America. In a moment, I'm going to turn this over to Roger, who will provide you an overview of the fourth quarter and of the full year and will share the first quarter's guidance. Let me, however, say upfront, I'm disappointed with our first quarter outlook. It's obviously not the starting point that I would have liked or we would have liked as we begin the next phase of FTI's success story. Having said that, I also want to underscore just how excited I am to be at this company and how convinced I am of the powerful prospects this company has going forward in terms of profitability, in terms of growth, in terms of the lifeblood of professional services, deep client and powerful client relationships. So after Roger has gone through the numbers, I'd like to come back to you briefly. I'm only 1 month in here but I'd like to give you a flavor for why what I have heard and experienced over the last few weeks, which makes me excited and the process we have under way to unlock and deliver on that potential. So with that, let me turn it over to you, Roger.
Roger D. Carlile: Thanks, Steve. This morning, we announced our fourth quarter and full year results for 2013. By now I hope all of you have had a chance to review those. If not, as Mollie said, they can be found on our Investor Relations website. For the quarter, revenues increased 4.2% to $416 million. Adjusted EBITDA was $53 million or 12.7% of revenue. Adjusted earnings per share were $0.49. It's important to note that both adjusted EBITDA and adjusted earnings per share included a remeasurement gain related to the reduction of the liability for estimated future contingent consideration payments related to prior acquisitions. This remeasurement gain increased adjusted EBITDA in the quarter by $5.3 million and adjusted earnings per share by $0.10. For the year, revenues increased 4.8% to $1.65 billion, adjusted EBITDA was $259.1 million or 15.7% of revenues, adjusted earnings per share was $2.39 and again, both adjusted EBITDA and adjusted earnings per share included remeasurement gains related to the reduction of the liability for estimated future contingent consideration payments related to prior acquisitions. These remeasurement gains increased adjusted EBITDA for the year by $13.6 million and adjusted earnings per share for the year by $0.30. During our third quarter earnings call, the company updated its fiscal 2013 guidance for revenues of between $1.62 billion and $1.65 billion and adjusted earnings per share between $2.10 and $2.20 per share. For purposes of comparing our full year adjusted earnings per share to our guidance on an apples-to-apples basis, you should exclude the fourth quarter $0.10 per share favorable impact of the remeasurement gain, which was unknown at the time we reaffirmed our full year guidance during the third quarter earnings call. And thus, you would compare $2.29 per share to the $2.10 to $2.20 per share guidance range provided. Regarding this comparison, we achieved double-digit year-over-year revenue growth in our Forensic and Litigation Consulting and Technology segments in the fourth quarter as we benefited from stronger-than-expected demand. In addition, these businesses were not impacted by the year-end holiday seasonality to the degree anticipated in our guidance. As a result, the company achieved full year revenue at the upper end of its guidance range and exceeded the upper end of its adjusted earnings per share guidance range. With regards to capital allocation, we continued our balanced approach. In the fourth quarter, the company spent $14.7 million on acquisitions and committed $22.4 million to repurchase and retire approximately 535,000 shares of the company's common stock. For the full year 2013, the company spent $55.5 million on acquisitions and committed $71.1 million to repurchase and retire approximately 1.96 million shares. Turning to our cash position. For the year, net cash provided by operating activities was $193.3 million, an increase of $73.1 million as compared to the prior year period. This increase was primarily due to slightly higher cash collections, lower employee bonus and lower income tax payments. Cash and cash equivalents were $205.8 million at December 31, 2013. Although overall cash collections were higher, the rate of collection slowed somewhat as days sales outstanding, or DSOs, during the quarter increased 7 days to 97 days as compared to the prior year quarter. This increase in DSOs was largely driven by a shift in both service and geographic mix, as our receivables balance grew in our Corporate Finance/Restructuring business in Asia Pacific, relative to the growth in other segments and regions, primarily as a result of our acquisitions over the last 16 months of 2 Corporate Finance and advisory businesses in Australia. These businesses naturally experienced longer billing and collection times as an extended regulatory process dictates the timing of billing and collections, resulting in higher average DSOs. During the quarter, we incurred a special charge of $27.6 million, of which $10.9 million is noncash in nature. This charge was primarily for severance and acceleration of expense for certain retention bonuses, equity awards and transition service payments related to the transition of former executives. In addition, it includes the acceleration of contractual transition service expense for a senior client service professional within the Corporate Finance/Restructuring segment. Turning to our segments' performance. In the fourth quarter, our Forensic and Litigation Consulting segment continued its strong performance, with revenues of $114.7 million, increasing 18% year-over-year. Results were driven by higher demand and success fees in our health solutions practice and strength in our financial and enterprise data analytics, or FEDA, practice. Our health solutions practice revenue increased 57.1% over the prior year quarter and 19% sequentially on strong demand for our performance improvement and physician integration services. Our FEDA practice continued to emerge as a market leader as revenues nearly doubled compared to the prior-year period. This increase was driven by strong demand for larger disputes in mortgage-backed securities engagements. For the year, Forensic and Litigation Consulting revenues increased 6.4%. This increase was largely driven by the 23.6% year-over-year increase in our health solutions practice. In 2013, we saw positive litigation market trends emerge, with securities litigations filings increasing 10% compared to 2012. Looking forward, we see encouraging signs for a more robust accounting and investigatory task force at the SEC. And we're positioned as one of the few independent providers of these services that can compete on a global basis. In our health solutions practice, we continued to benefit from the disruption occurring in the health care industry. Looking forward, as many of our provider clients are starting to feel the impacts of the Affordable Care Act and experience revenue shortfalls, we expect demand for our physician integration and clinical and business model transformation services to remain robust in 2014. In Economic Consulting, fourth quarter revenues of $108 million increased 12.9% year-over-year. The increase in revenues was driven by the strong performance of the segment's antitrust litigation services in the North American and EMEA regions and its international arbitration, regulatory and valuation practices in the EMEA region. Our fourth quarter results cap off an outstanding year for our Economic Consulting business. In 2013, revenues increased 14.2% year-over-year. This strong performance was driven by our market-leading professionals, several of whom we recently agreed to extend employment agreements with, which I will discuss later. In Technology, fourth quarter revenues of $53.6 million increased 12.6% year-over-year. Similar to our third quarter results, our strategic investments in products, people and business development contributed to our performance. We benefited from strong demand across our complete suite of e-discovery software and services. We also continued to observe rising demand globally for our end-to-end capabilities, particularly from corporations seeking long-term provider relationships. According to our clients, our e-discovery software and the depth of our global experience are key factors in their decision to engage us long-term. For the year, Technology revenues increased 3.8% compared to the prior year. Our ability to earn business from new clients while furthering developing -- further developing our relationship with existing clients helped to offset the challenging headwinds associated with the decline of certain large engagements, as well as unfavorable pricing pressure for our unit-based offerings. Turning to Corporate Finance/Restructuring, fourth quarter revenues of $92.8 million decreased 14.5% year-over-year. Revenue increases in Asia Pacific, primarily related to an acquisition of an Australian-based corporate recovery business, were unable to offset the continued weakness in our core North American bankruptcy and restructuring business. In the fourth quarter, demand remained depressed for restructuring activity as a result of the strong high-yield debt financing markets and historically low U.S. corporate default rates. A recent report from the American Bankruptcy Institute found that 2013 business bankruptcy filings in the U.S. dropped 24% compared to 2012, their lowest level since 2006. Lower success fees versus the prior year quarter also contributed to the year-over-year decline. For the year, Corporate Finance/Restructuring revenues decreased 3.1% as the impact of acquired revenue was unable to fully offset the revenue shortfall in North America. In light of the challenging bankruptcy and restructuring backdrop in North America, we continue to focus on our go-to-market initiatives for our non-distressed product offerings, which now represent approximately 35% of segment revenues. However, these services generate profit margins below the levels we have historically achieved in our core bankruptcy and restructuring practice. In Strategic Communications, fourth quarter revenues of $46.9 million declined 6.8% year-over-year. Revenues were lower due to reduced pass-through revenues and project revenues in the EMEA and North American regions. While our Strategic Communications segment remains the global leader for M&A financial communications by volume, the financial transactions business continues to experience pricing pressure and reduced activity. For the full year, revenues in Strategic Communications fell just under 1%. From a geographic perspective, fourth quarter Asia Pacific revenues increased 15.4% year-over-year, with 26% and 15% year-over-year increases in our Forensic and Litigation Consulting and Corporate Finance/Restructuring businesses, respectively, during the quarter. Corporate Finance/Restructuring revenues were largely driven by $4.9 million of acquired revenues. Our Forensic and Litigation Consulting segment revenues in the region were bolstered by contributions from its construction solutions practice as it continues to experience significant growth as we invest in building out that team. For the year, revenues in Asia Pacific increased 32.8%. The revenue increase was again largely driven by acquired revenues in Australia. Outside of Australia, we see opportunities to enhance our position in Singapore in both our Forensic and Litigation and Economic Consulting businesses, where we realized year-over-year revenue increases. In EMEA, fourth quarter revenues increased 12.9% year-over-year, driven by a 55.2% increase in Economic Consulting revenues and a doubling of Technology revenues. During the quarter, our Economic Consulting business benefited from strength in our European international arbitration and antitrust practices. The uptick in Technology revenues was driven by increasing client demand for technology providers with a global reach, as this continues to be an important factor in winning work on complex, cross-border investigations and transactions. For the year, revenues increased 9.9% in EMEA. Revenues were driven by solid top line increases out of the U.K., and a 47.4% increase in revenues in our Belgium office. In Latin America, revenues decreased 0.6% for the quarter, as increases in Corporate Finance/Restructuring revenues were unable to offset revenue declines in our Forensic and Litigation Consulting and Strategic Communications businesses. For the year, Latin America revenues fell 11.9%, primarily due to softer demand in that region. In North America, fourth quarter revenues increased 1.5% year-over-year. This increase was largely driven by a 25.7% revenue increase in our Forensic and Litigation Consulting segment. Within our Forensic and Litigation Consulting segment, our health solutions practice increased 57% year-over-year. This strength, along with the 5.3% and 3.9% year-over-year revenue increases in our Technology and Economic Consulting segments, respectively, was offset by the previously mentioned challenging revenue headwinds in our core North America bankruptcy and restructuring business. For the year, North American revenues increased 2.4%, as declines in our core North American restructuring and bankruptcy business were offset by double-digit revenue increases in our Economic Consulting and Forensic and Litigation Consulting businesses. Our Forensic and Litigation Consulting growth was again largely driven by a 23.6% increase in health solutions revenues compared to the prior year period. Turning to our 2014 outlook. The guidance provided in this morning's press release is only for the first quarter of 2014, not the full year, as has been our historical practice. As Steve will discuss in more detail later, he is leading a strategic review of the company's markets, services and clients. And in light of possible strategic and operating changes coming from that review, we are only providing guidance for the first quarter of 2014. We intend to provide second quarter guidance during our first quarter earnings call in early May and update its full year 2014 guidance in June. These particular changes in guidance should not be viewed as a permanent change to the company's guidance practices. As you know, from prior years, our first quarter include several cost items that don't recur in the second and later quarters of the year. Also for the first quarter of 2014, we have certain investments, which continue to impact our adjusted EBITDA and adjusted earnings per share, such as the organic investment in our United Kingdom-based transaction advisory services practice, which we first announced in our third quarter 2013 earnings call. I will discuss these issues in more detail shortly. Walking our fourth quarter 2013 results forward to our first quarter 2014 guidance may better explain our guidance. Our fourth quarter 2013 revenue of $416 million falls within our first quarter guidance range of $410 million to $425 million. So on a consolidated basis, we are seeing a revenue opportunity reasonably consistent with the fourth quarter of 2013. However, we are anticipating some differences in our mix of revenues by segment, which will impact consolidated adjusted EBITDA margins. For example, although we anticipate flat to slightly increasing revenue for our Forensic and Litigation Consulting segment in the first quarter of 2014 as compared to the fourth quarter of 2013, we don't expect the segment's higher-margin health solutions practice to represent the same proportion of the segment's revenues in the first quarter of 2014 that it did in the fourth quarter of 2013. Likewise, in Technology, we anticipate revenue in the first quarter of 2014 to be flat to increasing by low-single-digit percentages. However, adjusted segment EBITDA margins are expected to be continued to be affected by pricing pressure and business mix. For our Corporate Finance and Restructuring segment, we continue to face weak demand for our historically high-margin bankruptcy and restructuring business in North America. To give this some perspective, speculative-grade debt issuance volume totaled $476.5 billion in 2013, the highest on record, marking a 12% increase from 2012, according to Dealogic. Moreover, U.S. junk bond issuance in 2013 totaled $324 billion, the second-largest yearly figure ever, according to S&P Capital. And the high-yield market ended 2013 on a relatively high active note, with roughly $22 billion in volume during December. Thus, we currently expect first quarter 2014 revenues to be flat-to-down by mid-single-digit percentages. And as you know, this segment has historically represented one of our higher-adjusted segment EBITDA margin businesses. In Economic Consulting, we're currently anticipating revenues in the first quarter of 2014 to be relatively flat compared to the fourth quarter of 2013 due to a relatively slow ramp-up of employee utilization in January 2014, following the completion of several large client matters and year-end holidays. Moreover, we remain concerned that the market seems to lack confidence about moving past the first look M&A stage. Much has been published about the strength of M&A fundamentals and the uptick in early-stage M&A activity, but a lack of willingness to pull the trigger seems to remain. Likewise, for our financial litigation business, the levels of activity created by the 2008 financial crisis will wane at some point. In 2013, federal cases in which financial institutions were named as defendants represented 24% of all federal cases, up slightly from 23% in 2012 but well below the 67% and 63% of total cases witnessed during the peak of the credit crisis in 2008 and 2009. In addition, we will begin incurring a higher employee compensation cost as a result of recent senior professional employment agreement extensions, which will impact adjusted segment EBITDA margin in this segment. Finally, we anticipate revenues in our Strategic Communications segment to be down by mid single-digit percentages in the first quarter of 2014 as compared to the fourth quarter, due to the continued challenging capital markets activity and pricing pressure for our financial communications services. According to Mergermarket, after improving 28% year-over-year in the third quarter of 2013, core fourth quarter deal flow caused M&A value to drop 3% in 2013 compared to 2012. In Europe, where this segment has its greatest exposure, fourth quarter M&A value was down almost 40% compared to the fourth quarter of 2012. Turning to the cost side of our guidance. As I mentioned earlier, during the fourth quarter of 2013, we reached agreement with several of our Economic Consulting segment's most senior client service professionals to extend their employment agreements through the year 2023. As a result of increased bonus and other compensation opportunities for these and other professionals participating in the segment's bonus pools, we estimate that adjusted segment EBITDA margin for 2014 and forward will be reduced by 400 to 500 basis points. However, this range is dependent upon the actual revenue levels due to the variable nature of much of this segment's compensation structure. Regarding other cost items, our first quarter typically has increased employee benefits costs for higher FICA and 401(k) expenses as a result of our annual performance bonus payment. Equity compensation expense is also higher in the first quarter, due to the fact that many of our senior managing directors receive a portion of their bonus awards in equity grants. Depending on length of service and retirement eligibility of these SMDs, certain of these awards vest upon grant, which produces this onetime spike in expense in March. Our marketing and business development expenses are also increased in the first quarter due to 2 large client-focused events we sponsor during the quarter. Finally, for the first quarter of 2014, we will incur double rent for both our existing London office facilities and our new London office, which we are moving into as we speak, and we'll complete that move by the end of the first quarter. On a combined basis, these 4 increased expense categories create a reduction in fourth quarter adjusted EPS of between 15% and 20% -- or $0.15 and $0.20 per share as compared to other quarters in the year. Based on current market conditions and the segment level drivers described above, the company estimates that revenues for the first quarter of 2014 will be between $410 million and $425 million, and adjusted earnings per share will be between $0.20 and $0.28 per share. This guidance assumes no acquisitions and no share repurchases. With that, I will turn the call back to Steve for his closing remarks.
Steve Gunby: Thank you, Roger. With that description, I'm sure many of you have questions for Roger and Dave on both last year's results and the outlook for the first quarter. So let me just say a few words before I turn the call back to them so they can answer your questions. As I mentioned before, obviously, none of us are excited about the first quarter outlook that Roger just outlined. But I want to stress that I remain fundamentally excited about the core capabilities of this business and where it can go. I've been in this job only 4 weeks, but I've spent -- an intensive 4 weeks. I spent 4 weeks on the road meeting the team, not just the management team, which is an impressive team but also the folks who are driving the business, people who are collaborating with clients day-to-day. And I've had the chance to meet with some of those clients as well. And I've done this in a number of cities. I've been to New York, Chicago, Los Angeles, San Francisco, Australia, Hong Kong, Singapore, London, Milan, Madrid. And next week I'm going to Latin America and a couple of other U.S. cities. The cities, of course, are different. Our practices are different in those cities, the individuals are different, but in every one of those markets, I walked away with a clarity, a strong conviction that we have, in every one of those markets, unbelievably dedicated people who are making a major difference every day for our clients and people who have passion to take this company to the next level. That sort of enthusiasm, together with the capabilities we have in professional services firm is the key. It is something we can work with. When I arrived home from that first trip, very tired, pretty jet lagged, I told my wife that I was more excited than ever about the opportunities that this company has. There are, of course, areas for improvement in every business, and no business can stand still. And that's true for us as well. There's obviously much work to be done here to realize your aspirations for this company as well as ours. It's too early today for me to outline specific plans, but let me give you a sense of the processes we have under way. First of all, I want to make sure I extend an invitation to each of you to the upcoming Investor Day on June 16 in New York City. I'm very much hoping you can all be there, at least, for a chance for me to get to meet you and to talk with you one-on-one but also, I think it's the first Investor Day we've had in 6 years. It'll be a terrific time for us to talk not just about a vision, but I'm intending for us to share concrete plans about where we see this company going, and a sense of ownership of those plans, accountabilities, timelines, deliverables and deadlines. Before I started at this firm last month, I hosted a 2-day offsite with the top management, where I asked the team to bring to the table their most powerful ideas for where this company could go, where we could take this company in the medium-term, in 36 months to 54 months, where we could take this company in the next 18 months and ways that we could fund the journey. And what are the cultural strengths we have that we can build on and what are the cultural inhibitions that we need to change. It was a great meeting, I think regarded by all as a great meeting and, importantly, a long list of powerful ideas emerged. For every idea, someone in that meeting took ownership to pull the thinking together -- the initial thinking together, figure out where we can take it to go and what we need to do to supplement that thinking to take it to action. That group will be meeting again shortly in March and then again in April. And out of those meetings, we will set the initial direction for the company for change. Those are the plans that will be shared with the board and then with all of you in June. I've had the chance, even while I've been traveling, to sit with people and see some of the initial work, some with Roger and David in the room, some with others, some of our segment leaders and some of the region heads. Where I've done that, I and the others in the room have tended to walk away from those conversations feeling very good, with a sense that there's real granular opportunities in front of this company, things that we can do not just in the 3- and 5-year time frame or a 1- or 2-year time frame, but things that we can begin to move on boldly in the second and third and fourth quarter of 2014, that can make a difference for the business and for our shareholders. So with that, let me say thanks for taking the time here today. I very much look forward to meeting each of you. Thank you for the support you've given to this company. With that, let me turn this back to Roger and Dave, and open the floor for your questions on our quarterly and full-year results. Roger, Dave?
Operator: [Operator Instructions] Our first question comes from Tim McHugh at William Blair & Company.
Timothy McHugh - William Blair & Company L.L.C., Research Division: I guess, first, just on the Economic segment, you talked about extending the employment agreement. I'm sorry, you ran through those quickly, so I may have -- if you could just refresh the numbers that you said about the margin hit. And what was the impetus for -- I mean, were the employment agreements expiring here? Or what made you have to re-up this and, I guess, pay the consultants more to keep them engaged? And I guess, what do you get for this, how long do you -- have you locked these consultants in for?
Roger D. Carlile: So Tim, I'll restate what I said so it's clear and then, David will go into a little more depth on the actual changes. But what I've indicated was is that we -- those are variable compensation arrangements so we're -- it's an estimate, but we're estimating a between 400- and 500-basis-point reduction to adjusted segment EBITDA margin from the levels it was running as it exited 2013. And David, background.
David G. Bannister: Yes, Tim, let me try and make a few points on the Economic business. As you know, that is a business that has tremendous intellectual capital that is populated by people of -- the world-renowned, Nobel Prize winners, very productive and very important people. This process was an important process in terms of getting the top 10 folks contracted for the balance of the decade. We now have our top 10 economists who are committed to us and enthusiastically contracted to us through periods ranging from 2020 to 2023. I would point out that the margins that are implied by this are consistent with some of the wording Roger has been giving over the last number of quarters, where we have been consistently saving we were operating at the high end of the possible margin range for this business and that having the implied margins adhere [ph] of the 15% to 16% is very consistent with past margins we've had at this business but also, with where we've been trying to steer people. And also, I would point out, those margins are well above our public peers who operate in this space. So this is still a very profitable business and a very good business at those levels. But we do think that it is appropriate and important to have these people signed up to long-term agreements, where we know that we have the value of their services. The really important thing in the business, too, is by securing those top folks, it really provides solidity and continuity to the totality of the team. Tim, as you and I have discussed before, one of the real advantages that we think we have in that business is the high-quality staff, that those people, the Ph.D.s who -- or aspiring Ph.D.s who work for us really gravitate toward these top economists. And having the ability to articulate to that staff the continuity of those top people for a long period of time is a huge advantage to us. So we're very excited, very enthused about this. There are other elements of the re-contracting that have benefits for other people within the group. But we think it is now a business model that is secure, that is appropriate for those -- for that business and one that we're very pleased to be going forward with.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. That's helpful, I guess. And then on the restructuring business, I get -- obviously, everyone knows that high-yield markets are on fire and restructuring is facing pressure. But I guess beyond the kind of market trends, I've also heard some commentary or people speculating on some of the traditional investment banks trying to push further into other areas of restructuring and trying to keep more of whatever work there is out there for themselves. Basically, I guess, both -- more so on the debtor side than the creditor side. But can you talk competitively, what are you seeing in the traditional restructuring business and does that -- are you seeing any impact, I guess, from -- in terms of the market share underlying that business?
David G. Bannister: Tim, I think that's, as always with you, a very good observation and one that we are watching carefully. What I think has happened to a large number of resignments [ph] because of the tremendous liquidity in the market, whether it's the high-yield market or we're back to covenant-light loans in a very aggressive banking market again. It is that projects that heretofore had moved into restructuring, into pre-bankruptcy or actually bankruptcy or getting refinanced prior to us getting to them. So while I don't see a tremendous amount of change in the nature of the services being provided by the investment banks, they're not putting large teams of people into projects and billing by the hour and trying to restate financial statements and so forth, they are aggressively in with refinancing proposals. I think we spoke earlier in the year, for example, about JCPenney, which was a pretty highly visible distressed credit, where a number of firms like us thought it might move into a restructuring and they had a $1 billion-plus refinancing led by Goldman. Those are the sorts of things that really seem to be going on with the investment banks. We do have -- and I think you'll hear in June some thoughts about how to keep repositioning our Corporate Finance business into earlier-stage services for companies that are undergoing distress. I was with one of the top LBO guys over the weekend who sort of comes from that background and we were talking a lot about how our services might extend to helping companies not go into bankruptcy. We would refer to them as performance improvement. Certainly, you know Jay Alex [ph] and others have gotten more aggressive in there. And I know that Steve and -- with our Corporate Finance team thinks there are opportunities for us there. I would point out that some of the large strategic consulting firms have also moved into this space a bit. So McKinsey now has stood up a restructuring team and is trying to compete actively for business and compete actively in some of the channels we work through. So the large law firms and so forth that sometimes tapped them on the shoulder for performance improvement work that we would think would have historically been in our space. But yes, it is an issue and we're -- the demand level is so light that a lot of people are trying to find ways to keep people busy, so...
Operator: Our next question is from Tobey Sommer at SunTrust.
Frank Atkins - SunTrust Robinson Humphrey, Inc., Research Division: This is Frank in for Tobey. I wanted to ask about the health solutions practice. It had good performance, but what do you see going forward there? Your comments were a little bit more cautious in terms of what you see and the visibility going forward. And if you could just give us an idea of the size and trajectory of that business.
David G. Bannister: Frank, it's Dave again. Let me start out with that and I'll kick it back to Roger for the numbers on it. We separated that practice out as a separate practice within our organizational structure almost exactly a year ago. And our thought on that was we had a number of professionals operating inside different segments, somewhat independently and in an uncoordinated fashion. And we, like others, believe there was a significant strategic opportunity to grow there. That decision, I think, in retrospect, has proven to be a very good one. 57% growth in the fourth quarter for that first business will be evidence of that. We now have teams working closely together. And frankly, we have a streamlined process to add the sorts of professionals we need in that business. That business, for us, requires some unusual skills. We have physicians in that business, we have nurse practitioners in that business, we have folks of different skills than we have other places and we were frankly a little sluggish when we had it buried underneath sort of accounting-oriented practices to be able to make those decisions. So we continue to think it's a business that we're very excited about. As we look into the first quarter, it could be a little bit -- a little bit of a -- slower only because of some of the timing of success fees and so forth. We all follow Huron, for example, and you see their quarters bounce around quite a bit and they often point to the timing of success fees. So we're looking for a little bit of a slowdown with respect to just some timing on that. But Roger, do you want to add?
Roger D. Carlile: I think that's exactly right. I would only add one thing. We obviously had very, very strong growth in that business in 2013. You saw the growth numbers that we had in the fourth quarter, 57% year-over-year, and 19% sequentially and 24% across the full year versus the prior year. And so the challenge that, that creates in trying to maintain growth rates at that level is people. You have to find people and get them integrated and acculturated and up and running on those client projects. So I think if there's any cautiousness, it's more in the people side, I think, than the market side.
David G. Bannister: I think we said on our last call, as well, that while we certainly will look at the nonorganic, meaning acquisition ways to growing that business, our experience right now is that, to the extent profits are trading -- they're trading at valuations that imply growth rates and profitability that we don't think are sustainable in that business, and so we've been cautious about deploying additional capital there. We are aggressively recruiting. Certainly, for any of you on the phone who are listening who know people in this space, we'd love to see their résumés, but I think we will continue to look at acquisitions, we will think about acquisitions but the valuations seem pretty rich in that space now to me.
Frank Atkins - SunTrust Robinson Humphrey, Inc., Research Division: Okay, that's helpful. And as far as the items that you've highlighted that made the $0.15 to $0.20 impact in 1Q guidance, the double rent, the business development, will any of those spill over into 2Q? And is there a trajectory later in the year with those or are they generally a 1Q event?
Roger D. Carlile: By and large for -- all of those items, those are 1Q events only. I mean, with your FICA, as your -- depending on where your employees are in their pay versus the cap, that can -- that burns off throughout the year. But based on our bonus payments being in March, that tends to all fall in the first quarter. You might have a little bit but it'd almost -- it would be close to negligible in the second and later quarters.
Frank Atkins - SunTrust Robinson Humphrey, Inc., Research Division: Okay, that's helpful. And then in corporate restructuring, can you remind us what percent of the business is outside of North America, and how the trajectory of that is going? You highlighted the North American trends in your prepared remarks.
Roger D. Carlile: Actually, can you state that question again?
Frank Atkins - SunTrust Robinson Humphrey, Inc., Research Division: In corporate restructuring, how much of that is outside the U.S. or outside of North America and what are the trends there?
David G. Bannister: We have 2 -- we actually have 3 significant businesses outside the U.S., Frank, in Corporate Finance and corporate restructuring. We have a practice in EMEA, which is primarily headquartered in London. That businesses is roughly a $50 million annual-sized business. We have a good, strong business in Latin America that is primarily in Mexico and Brazil. That business would be in the $15-ish million size. And then of course, we have the Asian business, which we have grown very significantly over the last several years, starting with the FS Asia acquisition a couple of years ago and then the 2 recent acquisitions in Australia, and that business, Roger, is $150 million? Not quite that.
Roger D. Carlile: No.
David G. Bannister: It's 20, 40 roughly -- we'll get you that number as the call proceeds. We have that on a sheet of paper here. In terms of trends, the European business had a very good year and feels -- I mean, it's a small practice but in a very good year, I would say, it is more dependent episodically on engagements versus participating in the market broadly just because of the size of the business. So winning or losing individual engagements there becomes significant. I think we're thinking for a year in 2014 that looks a lot like 2013. Latin America, where we think we're pretty much the market leader there. It is obviously a much smaller economy, but Mexico and Brazil both are -- have situations going on in terms of their economies, particularly Brazil, where we think there is opportunity. Brazil's new for us. We just moved a very strong professional there last year and I would say we're ramping up there. And I think we think that has a significant potential, albeit off of a small base. Asia is a more complicated story. Australia, the Australian market, as I'm sure you know, has been an economy that has slowed a fair amount, particularly with the lack of Chinese investment there over the last 12 to 18 months. And so I would say reasonable level of expectation of business there. It's a -- we are a good, solid participant in that market. There are several others, so we are trying, through the acquisitions we did there, we're trying to move our practices into being the top tier provider there. That will take some time, but I think we're pretty optimistic about it. We really like our new professionals there. We've got a bright, young team, very aggressive, and they will benefit, which no other firm has there, they will benefit from the international platform that we have. So the relationships that we have with the major law firms in London, in particular, and the major financing resources in London, in Latin America and in Hong Kong and in the United States should provide cross-border opportunities for them that really set them ahead of the other competitors in that space. Roger, do you have that number?
Roger D. Carlile: Yes, just on the numbers, about 30% to 35% of the Corporate Finance/Restructuring segment is outside of the United States or North America. And about $60 million of that on an annual run rate, currently, is in Asia Pacific.
David G. Bannister: I'm sorry, I gave the total Asia Pacific revenue number. I apologize for that, Frank.
Operator: Our next question is from Jason Anderson at Stifel.
Jason P. Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: I wanted to start off with Corporate Finance. You mentioned the 1Q, I believe you said flat to down mid-single-digits in 1Q. How should we think about -- I know you don't want to give too much '14 guidance but just, in general, should we think about that as a trend for '14? And then also with that, how should we think about margins? You guys obviously had the EBITDA margin degradation this year in '13. Should we -- how should we think about that in '14? And maybe with that, any potential further cost reduction in that area?
David G. Bannister: It's Dave. I'll start again and let Roger jump in as well. At this point in time, we don't see any evidence of an improving demand market in 2014. As you know, these things can change quickly. We saw the Fed notes this morning, for example, talking about their opportunity to start increasing interest rates later in the year. I mean, those sorts of things can happen, but at this point in time, our plan and our budget is based on a continued lackluster demand environment, particularly in North America. So I think we would expect the revenue levels to be consistent with that. In terms of margins, yes, we certainly have seen margin degradation there. And the first quarter numbers would suggest no management actions in terms of cost containment or what have you. If the trends continue, we've got to look hard at that, as we have in the past. But at this point in time, it's premature to talk about what sort of cost actions we might take. We also are trying hard to develop some adjacent services, the so-called non-distressed services to use some of these very talented people we have there and, in effect, get them busy working on other stuff. So we're going to go through the strategic review. We've got a lot of work to do on that, but if you look at the pure metrics, the revenue per professional and so forth and so on are not really sustainable at these levels. We would have to eventually take action.
Roger D. Carlile: Yes. So I think to add to that, as you know, by looking at the prior 4 quarters in 2013, the revenue line for the Corporate Finance/Restructuring business stepped down each quarter. And although we are saying we think it's flattish to maybe down a little bit in the first quarter, we're not saying yet that we're calling out a bottom. As you'll recall, in 2011, we got to a point coming off the sort of the '09, '10 peak and we called a bottom and we stayed there for 6-plus quarters. Now we started, again, sort of a stepdown. And we don't know, I think, exactly where the bottom is. So we're watching that closely. As we've talked about in the past, it's difficult to manage margin in a position where the revenue's moving down because it's hard to set your complement of resources and people against the revenue demand. But we are actively looking at that with the dealership, and there are opportunities to deal with those things. As we mentioned also in the earlier comments, as David said, as we move toward some of those more early-stage or non-distressed kinds of services, the margins for those services are not at our historically high bankruptcy margins. And then as David said, and we said in the comments, that a lot of -- you see some of this effect all around. The majority of this effect, of course, is in the North American market.
Jason P. Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: Great. And then when it comes to your success fees, do you guys -- can you quantify that, what that was in FY '13, and then how we should think about that into '14?
Roger D. Carlile: Well, as you know, we don't disclose the amount of success fees in our filings. And the reason for that is, is except when they get -- some very unusual things happen, like with the forensic litigation consulting success fee in the third quarter of last year, they're not a significant portion of our revenue at this time. They don't impact it significantly one way or the other. I don't know, Dave, do you have anything else to add to that?
David G. Bannister: Our success fees have historically came to us in our Corporate Finance and recovery business. And those are obviously down because that business is down. On the other hand, some of our new practice lines are starting to have more success fee-like elements to them. So the health solutions business will often have, I would call it, a performance-based fee. If you're able to accomplish certain savings objectives or other performance measurement kinds of things, there will be additional fees typically admeasured at the end of engagement. And so in that business, I would think we'll see more of that sort of fee going forward. We also, as you know, are seeing more non-hourly-based fee arrangements in our -- really, in our Forensic business and in our Corporate Finance business. So either a fixed fee or an hourly fee with a cap or some of those sorts of things. So we're seeing different, what we call, alternative fee arrangements. I don't think that the success fees are a -- they're not a meaningful part of the business in terms of analyzing the business on a consolidated basis over the year, but bouncing a couple of million bucks between a quarter can oftentimes affect the quarterly performance. And that's really what we were trying to talk about was just the -- because they have virtually 100% flow-through in terms of earnings.
Operator: Our next question is from Paul Ginocchio at Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG, Research Division: Roger, sorry if I missed some of this, but I was just trying to run these numbers and it looks like a year ago, in the first quarter, you had a 13 -- I think it was the 13.5% EBITDA margin. Sorry, no -- maybe -- sorry, 14.6% EBITDA margin. And this year, you're guiding to be down 5 or 6 points year-on-year. Some of that obviously -- I'm trying to capture that year-on-year -- the seasonal impact of FICA and all the other payroll taxes by looking at the year-on-year. I'm just trying to understand how much of that 5 or 6 points is structural because of economics and mix shift and how much is just onetime that's going to kind of dissipate as the year progresses?
Roger D. Carlile: Sure, Paul. You're comparing against first quarter '13 to first quarter '14 guidance, was that your comparison?
Paul Ginocchio - Deutsche Bank AG, Research Division: Yes, it's down 5 or 6 points. How much of that 5 or 6 points dissipates, how much is structural for the year?
Roger D. Carlile: Right. Well, I think in comparing those 2 quarters, of course, you'd capture -- you have the same onetime effect that -- already in both, for the benefits and the equity comps. So that's not the explanation between those 2 quarters. The primary explanation between first quarter a year ago and first quarter guidance today is in Corporate Finance/Restructuring and Economic Consulting. So in Corporate Finance/Restructuring, as we said, that was their highest-revenue quarter of 2013, and their mix would have been better, at that point in time, burning off still some of their -- of those bankruptcy matters. So you had more revenue and you had a better margin mix of revenue for Corporate Finance in that year. In Economic Consulting, as we spoke about those, the re-signing of -- the contract extensions of those senior professionals, that cost that starts in the first quarter of this year, of course, was not there last year. So that margin would be down in the first quarter of '14 relative to the first quarter of '13. And that's -- there's a few other ins and outs, but that's the primary differences.
Paul Ginocchio - Deutsche Bank AG, Research Division: Okay. And just to repeat, Dave just -- Dave's answer just said that there's no upturn in Corporate Fin/Restructuring this year so that's sort of going to be stuck with us, correct? Could change any time? [ph]
Roger D. Carlile: I think those 2 effects we -- yes, those 2 effects we just spoke about, at least, the cost effect of Economic Consulting, again, is an estimate based on what actual revenues come in but the effect is -- will persist for the full year. And at the moment, we're not seeing -- the restructuring markets in the North American region, we're not seeing that come back. So as David said, that could change quickly, but we are not seeing that at the moment.
Operator: And we'll take David Gold from Sidoti.
David Gold - Sidoti & Company, LLC: A couple of relatively quick ones. First, there was some commentary in the release about -- in Restructuring, some gain for -- it sounded like a departure. Can you give a little bit more color on that? It seems [ph] fairly senior level if it's that big of gain, or am I reading that incorrectly?
Roger D. Carlile: Yes, well, there's -- I think the gain that's referred to is a remeasurement gain which relates to the new accounting for business combinations or acquisitions. So there was a gain in the fourth quarter that added $0.10 to adjusted EBITDA for the quarter. And that relates to essentially putting a present value on the expected future earnout payments of acquisitions. We have to do -- you have to make that estimate for the full period which, in most cases for us, is a 5-plus year period of time you're sort of forecasting and estimating. That's not related to any one person, that's related to an acquisition. And those acquisitions we're speaking about are those 2 that were the Australian market for the Corporate Finance/Restructuring business. We also spoke about a special charge, which was an expense or cost item that dealt with individuals. And there was one, as we referenced in the Corporate Finance/Restructuring business. I don't maybe -- which of those 2 items did you want to go into, David?
David Gold - Sidoti & Company, LLC: It was the second, sorry. [indiscernible] gain, but I meant the charge. And so...
Roger D. Carlile: So what was the question about that?
David Gold - Sidoti & Company, LLC: Just if it's worth discussing, given it's a $4 million charge, so -- that it seems like it must be a senior-level person, anything to talk about there as far as the departure? Voluntary, involuntary?
Roger D. Carlile: So it's not a departure. It was -- it is a senior client service person in the Corporate Finance segment. It's essentially an accounting -- it's just an accounting entry made based on the probability, a relative proportion of future service and the transition service agreement versus current service. And so it doesn't affect the individual being here or being employed at this time. It just is an accounting entry that references what we think the relative value of current services versus the relative value of future service.
David Gold - Sidoti & Company, LLC: Got it, got it. So is that another way to say the person is underperforming based on the projection?
Roger D. Carlile: No. It's essentially just contract accounting. I mean, I can describe it in more detail, maybe privately. But just think of it as a lease. If you had a lease on a building and you determined that, that lease wasn't going to have the same utility in the future that you expected, you would probably recognize more of the expense of that upfront. So it's just -- it doesn't change, the person's here, the person's working, they have an employment agreement. That employment agreement had a transition service agreement included in it for the years after the full employment term and there's just a change in the expectations or probabilities of the value of current service versus the value of future service in that transition period, and it creates an accounting charge.
David Gold - Sidoti & Company, LLC: Got you, got you. Okay. And then on the Economic side, Roger, when you described the 4 areas that were impeding margins in the first quarter, I couldn't tell if you were suggesting that the Economic piece of that is just a first quarter event, as in, sort of onetime upfront signing bonuses or is that here to stay?
Roger D. Carlile: No. I want to be sure we're clear on that. I mean, the extension of those agreements which, as David said, has a very positive effect of keeping that senior team intact for, in some cases, a 10-year period and in some, maybe an 8-year period. But those come with an increased compensation arrangements that will persist for that entire period of time. So it's hard to say what the actual effect will be over the entire 10-year period because they are variable compensation arrangements, and it depends a great deal on what happens in terms of revenue. But at the moment we're thinking, for '14, that's between 400 and 500 basis points. But the arrangement will continue beyond '14 as well.
David Gold - Sidoti & Company, LLC: Got you. Okay, that's helpful. And then just, I guess, one broader -- and maybe it's clear but I just want to be sure I'm catching it. When we talk about -- this might be for Steve, if he's willing, how the plan to evaluate the business in an Analyst Day in June, is that to suggest that the formal plan won't be out until June?
Steve Gunby: I think that is the plan. We -- I think, look, the company hasn't had a new CEO in quite a while. And I think the goal here is to figure out the next generation of success for this company. There's been a great history of this company. But I think all of us believe that we have to not just rely on our history but figure out how we're going to take this company to the next level, not only next year but the next 3, 5 years in a way that you guys are excited about and all these employees are excited about as well. And I wish I was magical enough to travel around the world, learn the business, figure out what Ringtail is and magically come up with a strategy that has all the elements of it and a concrete deliverable plan and accountabilities that you all would believe in, in 15 days. But that talented [indiscernible] I'm not. And then also, obviously, there's some processes you need to follow. You have to come up with the idea, you have to vet them, you have to figure out who's going to do what and then you have to actually share them and make sure everybody's aligned on that. So I think we want to get out to you as quickly as possible. You've been a tremendous support for the company and, obviously, this has a sense ambiguity. But I would tell you, my sense is, this will only be positive stuff you're going to hear. I just needed the time to get it into a form that I'm comfortable with, the team has bought off on, there's ownership of it and that you would believe. And so I think -- I talked with Mollie and Roger and also scrambled for dates and venues and I think we came up with the June date.
David Gold - Sidoti & Company, LLC: Perfect, perfect. Now just one last one, and then I'll let you all be. There's been a ton of speculation on the Street, given some decently significant insiders selling at the senior levels of other potential departures. Are there any folks who've left who we should be aware of at the senior level?
Roger D. Carlile: No, of course -- David, it's Roger. If you were to name an executive officer, there'd be an 8-k that would tell you that person was leaving. So there had been nobody leave at that level, there's been nobody leave in our executive committee at this time. So I mean, the only people whose employment status changed, really, were Dennis' and Jack's. Dennis retired and Jack ended his term as CEO. So that was the changes. I mean, I think, if you think about those insider sales, which I think we can all understand that question, there were people there -- I can't answer for them, but I can tell you for myself, I haven't sold a share in 10 years. And so it came at a point in time where you're making that change, you can actually do that. We all know if I had sold in the past, I'd get this exact question and somehow, it sends a signal. So I think it was -- I think there were probably differing reasons for each person, and you'd have to maybe hear from them individually. But there's been no changes in employment status for anybody at this time.
Operator: Our next question comes from Joseph Foresi at Janney Montgomery Scott.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: I just wanted to start off, first, on the margin side. Is it true -- I mean, I just -- I want to make sure that I got this correctly, that the Corp Fin and the Econ, those are the biggest hits to the margin profile on 1Q? Do I have that correct?
Roger D. Carlile: Yes, comparing from last year first quarter to this year first quarter, those would be the 2 biggest impacts.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Got it. So I guess my question is why, at this point in time, are you starting to wrap up or are trying to lock in the economists in that business? Has competition gotten harder there in -- over the last couple of quarters and now you felt it was important to lock them up? Or why make that move now?
Roger D. Carlile: Well, I want to be clear that the margin reduction is the result of locking them up. Locking them up is the result of having the best people in the business that was -- that grew dramatically for the last several years. We want to be sure that we retain their talents and abilities for the future. So it costs more to do that, but we're not locking them up at a time the business is going down, we're locking them up at a time the business has been very strong. And we think we have the best people in that business compared to any of their competitors in that sector.
David G. Bannister: We clearly had several of the major economists whose relationships with us were coming to a contractual end. And we were the beneficiary of attractive contractual terms that are entered into at a time when their production and the scale of the business was significantly smaller. So just like the NFL, we had some beneficial contracts over the last several years from some of these senior folks and it was time to re-sign them at market-reasonable rates and hence, the margin profile, which I tried to talk about, is consistent with what we would have had several years ago and it's also still significantly superior to our peer groups. So we don't -- we think it was a prudent action. We think it was an important action. We think we paid reasonable market rates for the people that was consistent with their now current production and the production of that business unit.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Got it. Okay. And then, in the other businesses, FLC, Technology, Strategic Communications, can you just remind us of what you're expecting on the margins? I mean, it sounds like -- I know Technology, you pointed out, they were going to be down; Strategic Communications, down. Obviously, not the same impact as Corp Fin and Econ, but can we just run through one more time what the details are on the margin profile for those for 1Q?
Roger D. Carlile: Well, for FLC, I think that you have 2 effects going on there. So you have, overall, we're saying they're going to be flat to up mid-single digits in their revenue. The mix of the revenue shifting a bit in the first quarter as compared to the prior fourth quarter, we don't think that the health solutions will be as big a proportion of that total segment revenue. And health solutions has had higher margins. So you're going to get a little bit of mix effect there. But you're getting some uplift by the fact that the investigations portion of the business and disputes portion, as we mentioned, is improving. So -- and I think that's a market that, starting in the, sort of, the third quarter of last year and the fourth quarter today, we saw improving trends there. And I think they continue to feel those trends. And in technology, I think as we spoke about on the revenue line there, they've done an excellent job in their R&D and their sales teams and leading into the -- getting those tools and services into new matters in a way that has helped weather the decline in revenues from the large projects that we discussed. And so they weathered most of that, we think they will continue to have, again, growth -- more of that growth will show through. But on the margin line, and there continues to be the same effects related to pricing pressure and those types of things. So that margin can move based on their relative mix of licensing, hosting, services and where they are in a given quarter for that mix and what happens with pricing pressure. Strategic Communications is, in many respects, they're just the same story we've been discussing for some time. I mean, their revenue continues to be challenged as a result of reduced M&A and other kinds of financial transactions. And the pricing pressure on those kinds of projects continues, and so I think we see continued depressed margins in that segment.
David G. Bannister: I'd state -- I wanted to jump in on Technology a little bit. We do have a -- an energized commitment to our research and development in that space and we'd expect a higher spend this year than last year in that space. For those of you who are at legal tech, you know there was a lot of discussion about predictive coding and who is really using that in live client engagements and getting paid for that. We are. We struggle to find others who are using it. That does require continuing exploration and development of how to use that tool. We also think, more broadly, the governance space is one that we can play in well there and intend to commit some research dollars around that. So that's a business that we think has tremendous long-term potential, and we will continue to invest probably an accelerated rate in the research and development of products there.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: So that -- I mean, margins are not impacted by pricing, I mean, that's always been sort of the concern there.
Roger D. Carlile: Well, I think Technology margin is impacted by pricing. I mean, it's not different than most technology businesses. There's a -- you have a downward price effect, but there's been an upward volume effect. And so how that plays out at any given quarter is the balance of those 2. Also, the mix of -- there are various services that are different in margin -- we have a different margin in processing than we do in hosting, than we do in consulting, than we do in licensing. So the mix can change a little, but obviously, at most technology businesses, if you don't innovate and stay ahead of the innovation curve, then your margins are in a constant decline because of the price-volume changes.
David G. Bannister: So-called Moore's Law. Yes, the only thing I would point out there in terms of margins is we, from time to time, benefit from engagements that are truly urgent in that business. And those tend to have higher margins when those are going on, so a Justice Department inquiry or an antitrust matter that has to be dealt with very quickly. An increasing percentage of that business, however, is our longer-term sustained relationship with enterprise clients who are using our core technology and some of our associated services to deal with more routine needs for e-discovery and so forth. And while those margins, as a percentage of revenue, can be somewhat lower, the persistency of that and the predictability of that makes it a very attractive business.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Got it. And then I think I understand Strat Comm, that's just down I think because of the general business trend there, mid-single digits, right? That's going to put the pressure on the margins, correct?
Roger D. Carlile: Yes.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: Got it. And then, the sort of last one. I know you don't want to -- or you've stayed away from giving us guidance for '14. But I guess I'll take a shot at it anyways, maybe you can just give us some idea of what your general thoughts are -- and again, this is not putting it into anything, regarding growth for the year. I mean, is it possible that we -- you expect the aggregate business to grow? And then anything that you have on the margin profile. I mean most of this seems to be not solely onetime in nature outside of maybe the double rent to the London offices. So I wonder if we could just get some idea of do we expect revenues to be up or down, and do we expect that the margin profiles -- it seems like it's clearly going to be down for the year?
Roger D. Carlile: I'll give you a little. So I think exiting the fourth quarter and coming into the first quarter, when we look at the markets, there's nothing we see in the market that are substantially different, meaning, Technology and FLC's markets seem to be doing better and we seem to be feeling the benefit of that. And I think we feel that continuing. And there's nothing we see now that says we -- that we wouldn't feel that continue for the year, we just haven't -- we decided not to go look that far, given the reasons that Steve mentioned because of the strategic review. Strat Comm, as we've mentioned, at the moment, there's nothing we see that really changes the way that business exited the fourth quarter and is entering the first quarter, as you look into the third and fourth -- or second through fourth quarters. We spoke about Corporate Finance/Restructuring, I think it's -- it was flattish, as we said, to down a little we think from fourth to first quarter. That's probably one of the ones that worries us the most because it, as we talked about all the dynamics there, that could erode further in North America. So we're watching that. And Economic Consulting, as we said many times last year, I don't think we expect that to grow in the teens rates that it did for last year. So I mean -- I think we think there's growth opportunity there, but it's going to be in the single-digit range, probably more like mid-single-digit range as opposed to the mid-teens. You put all that together, right now, there's -- I don't think we see anything that would have the growth profile change dramatically as it was in the fourth quarter. David, do you agree?
David G. Bannister: I agree.
Operator: Our next question is from Randy Reece at Avondale Partners.
Randle G. Reece - Avondale Partners, LLC, Research Division: Do you anticipate any other significant round of hits from the need to lock in compensation for key producers in other parts of the business, say, over the next 12 months?
Roger D. Carlile: Well, I think -- look, our business is to attract, retain and develop the best people in our industry. So I wouldn't want to say that there's never a chance that we're going to have to react in a competitive world to retain the best people. That said, I think where you feel effects like this tend to be situations where you have maybe groups of people who -- that have come in, in one way or another on their contract expirations, those kinds of things are aligned. I don't -- I think as we look ahead, there's nothing we see that's heavily aligned in that same way. But then again, I'm -- there is the chance that we will [ph] have to retain our people. That is what we have to do to maintain the business. David?
David G. Bannister: Yes, I agree with that. I don't see a structural issue that's analogous to what we had in the [indiscernible] portion of Economics, where we had a number of people we've brought in through an acquisition, whose contracts were contemporaneously expiring and were significant, I don't see any other group of people like that who are coming to a head, where we see significant increases in compensation.
Randle G. Reece - Avondale Partners, LLC, Research Division: We all out here, we're out of calibration with what's going on with you, given the huge separation between where we were expecting guidance to be and where you guided earnings to. I still don't have a feel for how much you have reset just the operating cost structure compared with how much of the expense level in the first quarter is unusual in any way.
Roger D. Carlile: Well, I think one way to think about just the first quarter, if the first quarter were to recur, for the most part, in the same revenue and sort of direct cost fashions as the first, but for onetime items, I gave you that 15% to 20% range of earnings that would add back into the second quarter. So that probably gives you some sense of -- if the revenue was the same in the second quarter, what could happen. Another way to look at that might be to look at the guidance we gave for the -- or the implied guidance for the fourth quarter based on our update last -- in our third quarter call last year and how we actually performed in the fourth quarter. So those I think, right now, would be sort of relatively consistent earnings levels.
Operator: It appears there are no further questions at this time. That does conclude today's conference. We thank you for your participation.
David G. Bannister: Thank you.
Roger D. Carlile: Thank you.